????? (????????): I'm Yamamoto. Thank you for participation. Now I would like to present financial highlights.
 Page 1, as we disclosed at the Tokyo Stock Exchange and through our website at 11:30 today, the second quarter FY 2022 continue to be strong for Motorcycle & Engine business, driven by sustained robust outdoor demand, while the sales grew in robot business too, and we could pass cost increase onto prices successfully. The weak yen was also a tailwind for the company.
 As a result, the second quarter ended with a far better performance year-on-year with JPY 30.8 billion in business profit. The net profit is JPY 23.7 billion, which is the second highest level since 2000, only after the record year of 2015. Our outlook is the strong momentum will continue in Motorcycle & Engine and other segments.
 We made upward revisions to the full year projections for all segments, except Rolling Stock, which is affected by the project delay in North America. The rate assumption of a U.S. dollar was also moved up from JPY 125 to JPY 140. The new projection expects that improvement in business profit will be JPY 76 billion, up by JPY 20 billion and profit attributable to owners of parent will be JPY 45 billion, up by JPY 13 billion. Accordingly, we decided to add JPY 20 more to the year-end dividend, thus distributing a total JPY 70 in full year dividend. This is the summary of the financials.
 From Page 3, I will explain more details. Page 3. The second quarter of FY 2022 ended with the orders received of JPY 866.6 billion, revenue of JPY 759.7 billion, business profit of JPY 30.8 billion, profit before tax of JPY 35.9 billion and profit attributable to owners of parent was JPY 23.7 billion. The year's weighted average exchange rate of Japanese yen was about JPY 20 lower year-on-year. The value of U.S. dollar-based transactions was $0.86 billion.
 Page 4. This page shows orders received, revenue and business profit by segment. As you see in a cell marked #1, Energy Solution & Marine Engineering grew in business profit as a result of reversal of our loss provisions for Chinese shipbuilding and joint venture that was put up in the same period last year. As marked by #2, Motorcycle & Engine grew in revenue and business profit by capturing robust outdoor demand with our competitive products, while successfully passing the cost inflation to the pricing. The weaker yen was another beneficial factor. As a result, the quarter ended with revenue of JPY 759.7 billion, up by JPY 78.7 billion year-on-year. The business profit increased to JPY 30.8 billion, up by JPY 13.1 billion.
 Page 5. Please look at the table for details. As you see in the box #1, raw material costs went up, but the sales cost ratio improved due to more sales amount, price pass-through and the depreciation of the Japanese yen. As you see in box 2, selling, general and administrative expenses went up mainly in HQ departments, but this is in line with our starting plan, just like the previous quarter. The box #3 pertains to the share of investments accounted for using equity method, which had been negative in the same period last year because of a loss provisioning due to bad profitability at the Ship & Offshore Structure joint venture in China under steel price pressure.
 This year, the situation is getting better, and the weaker renminbi is favorable for us, enabling us to reverse the provision. As a result, the share in equity method subsidiaries generated JPY 1 billion and profit improvement of JPY 8 billion. The business profit was JPY 30.8 billion, up by JPY 13.1 billion year-on-year.
 Page 6. Let's turn to income in the operating profit. This quarter saw sustained depreciation of a Japanese yen, which inflated valuation gain on assets denominated in foreign currencies, creating exchange gain of JPY 7.8 billion. As a result, this quarter delivered JPY 35.9 billion in profit before tax, a larger increment than the business profit. The profit attributable to owners of parent was JPY 23.7 billion, up by JPY 16.5 billion year-on-year.
 Page 7. I will explain the factors contributing to change in profit. The Japanese yen depreciated year-on-year, leading to a profit improvement of JPY 25.8 billion. Higher material costs added cost of sales, but they were offset by a price pass-through and fixed cost reduction. Furthermore, Motorcycle & Engine continued to enjoy strong sales and made a positive contribution of JPY 1.7 billion to revenue. As a result, the business profit was JPY 30.8 billion, up by JPY 13.1 billion year-on-year. Please refer to Page 8 for more details by segment.
 Page 9. This slide shows the change factors in assets is marked by number one, Motorcycle, Rolling Stock and Aerospace Systems increased inventories. Box number two shows that Aerospace Systems increased advanced payments to suppliers from advanced money received at the last year-end. Now in this quarter, aerospace engine has more accounts receivable. For these reasons and others, we carry more current assets.
 Page 10. This slide shows change factors of liabilities and net assets. As is indicated by number three, interest-bearing debt level is higher than at the year-end. So this is a normal business cycle and the debt level is lower than usual years and is in line with our plan. This quarter ended with a net D/E ratio of 106.4%. In order to return to the target range of 70% to 80% by the year-end, we will continue to accelerate collection of accounts receivable, control inventory assets and improve asset efficiency.
 Page 11. Box number one shows the cash flow from operating activities. There was cash out of JPY 70 billion, improvement of JPY 14.1 billion year-on-year, driven by better profit margin in spite of increase in advanced payments to suppliers from the money received in advance at the year-end. The cash outflow from investing activities increased by JPY 4.7 billion. This was due to capital injection to our equity method affiliate. Excluding this impact, there is no real change from the previous year. The total free cash flow was negative JPY 105.4 billion, improvement of JPY 9.3 billion year-on-year.
 Page 12 shows historical cash flows over the past 10 years. Page 13. Turning to earnings forecast for FY 2022. We grew revenue through aggressive business activities in Motorcycle and other segments. The risks we were prepared for became less material, and we have changed the rate assumption from JPY 125 against a dollar to JPY 140, reflecting the latest market trend. Now we project that the overall revenue will reach JPY 1.720 trillion, up by JPY 30 billion and business profit will be JPY 76 billion, up by JPY 20 billion. Profit before tax will be JPY 68 billion, up by JPY 16 billion. The profit attributable to owners of parent will be JPY 45 billion, up by JPY 13 billion. All financials are higher than the previous forecast.
 This quarter made a sufficient progress against the business profit target of the year. The Aerospace Systems expects to restart production for Boeing in the second half of the year. We changed the delivery schedule of the Rolling Stock project in North America and put up a provision for loss. For this reason and others, we believe that now we face less uncertainty regarding these plans. The foreign exchange rate could sway the earnings, but other than that, we are well poised to achieve the target.
 Next, I will explain forecast by segment. Page 14. Forecast by segment is shown in the table. I will go into more details on segment-specific slides. Page 15. Aerospace Systems financial results are shown on this slide. Orders received increased due to an increase in component parts for Ministry of Defense and Engines. Both revenue and business profit grew year-on-year driven by commercial aircraft jet engine growth. The revised full year forecast of the business profit is JPY 4.5 billion higher than last, supported by revenue growth and a currency exchange rate assumption change. Although we plan to post onetime cost in jet engine development for a certain program in the second half of this year.
 Page 16. This slide shows orders received and revenue of aerospace and air engines separately. You will also find the number of aircraft component parts sold to Boeing and jet engine parts sold. Page 17, Aerosystems. This page shows the quarterly revenue and business profit. Page 18. This page describes our market overview regarding business environment and order trend as well as specific efforts to achieve the targets.
 Page 19, Rolling Stock. The Rolling Stock delivery schedule of a Long Island Railroad project was moved down to Q2 of FY 2023. The second quarter posted a provision for a loss due to the delay. As a result, the segment increased revenue, but the business profit declined year-on-year by JPY 1.3 billion. The revised full year forecast for FY 2022 projects, the orders received will increase JPY 220 million to JPY 300 billion due to the expected subway Rolling Stock orders from New York City Transit. I will talk about this option contract later in one of the topic slides. The business profit is JPY 2 billion less than last projection due to the impact of the Long Island Railroad project to delay in U.S.
 Page 20. This page shows orders received and revenue in domestic and Asia vis-a-vis in North America. For your information, the appendix shows sales from high-margin aftersales service and progress of M9 Project for Long Island Railroad in the United States.
 Page 21. This page shows the quarterly trend of revenue and business profit for your information. Page 22, the market overview of the Rolling Stock segment has not really changed since last time. Page 23, this slide shows the results of the second quarter FY 2022. Orders received made a big jump propelled by orders for LPG ammonia carriers and construction and operation of Japan's municipal waste incineration plants plus other projects. The revenue is dramatically up due to increase in energy business and the construction work for submarines despite a decrease in construction work for domestic and municipal waste incineration plants. The business profit improved considerably as a result of profit improvement at a Chinese building joint venture. The full year forecast was revised upward again because we expect growth in energy projects and LPG ammonia carrier orders. The revenue was revised down due to a period shift in energy projects. However, this is compensated by improved equity and gains from a joint venture. The new business profit forecast is JPY 5.5 billion, JPY 3 billion higher than the last projection.
 Page 24. This page shows orders received and revenue of energy plant and marine machinery and shipment offshore structure as well as share of profit or loss of investments accounted for using equity method. Page 25. This page shows quarterly trend of revenue and business profit.
 Page 26. This page shows the market overview and order trend in this segment. The top priority is to offer products and services to achieve a low-carbon and decarbonized society. We received orders for Kawasaki Green Gas Engines from Thailand. We also delivered LPG ammonia carriers and received more new orders for them. KHI is also focused on establishing a leading position in a transition product towards decarbonization. To meet the need to lower or even eliminate carbon emissions from small to midsized gas turbine power generators, KHI started selling dry low emission combustors, DLE. DLE allows hydro energy transition without modification to existing gas turbines. Customers don't have to make big initial investment while they can reduce carbon emissions. This product will make important contribution to energy transition to decarbonization.
 Page 27. This slide shows the results of the second quarter FY 2022. The orders received grew year-over-year as the impact of lockdown in China East and robots for semiconductor manufacturing equipment and others were strong. On the other hand, revenue and business profit declined mainly due to a decrease in hydraulic components for China and rising raw material costs. The forecast of orders received in revenue and business profit remains the same as before. Considering the foreign exchange assumption change, the business profit forecast was revised up JPY 1.5 billion to JPY 10.5 billion.
 Page 28. This page shows orders received and revenue of Precision Machinery & Robot as well as share of profit or loss of investments accounted for using equity method. Appendix shows sales of hydraulic components to China and the sales of our robots by segment. Page 29. This page shows the quarterly trend of revenue and business profit.
 Page 30. This page shows market overview and specific efforts in this segment. The market overview has not changed since last time. Regarding specific efforts, we updated open innovation, in cooperation with multiple camera manufacturers, Kawasaki achieved 10x faster pulse output of a visual inspection for products with complex surfaces. With this innovation, we want to further stimulate the demand in the inspection market.
 Page 31. This slide shows the results of the second quarter FY 2022. Revenue grew strongly year-on-year due to an increase in Motorcycles for North America and Southeast Asia as well as 4 wheelers and general-purpose gasoline engines, coupled with weaker yen, despite a transient impact of lockdowns in China and a decrease in Motorcycles for Europe due to a product supply shortage. Business profit improved, thanks to an increase in revenue and a price pass-through in spite of higher raw material prices, logistics and fixed costs.
 In the revised FY 2022 forecast, we ramped up business profit projection to JPY 56 billion, up by JPY 11 billion from the last published forecast, another record number in a row after the previous year, supported by revenue growth due to foreign exchange rate assumption change and greater sales of Motorcycles in emerging countries.
 Page 32. This page shows revenue and business profit for a subsegment, namely motorcycles for developed countries, motorcycles for emerging markets, utility vehicles, ATVs, PWC and general-purpose gasoline engines. Appendix shows wholesales of motorcycles by country. Page 33. This page shows the quarterly trend of revenue and business profit.
 Page 34. Here is market overview for Motorcycle & Engines. We feel that we are coming out of the impact of supply chain disruption in addition to kids products I introduced last time, we released 2 HEV motorcycle models just yesterday at a show in Milan. They will be launched in FY 2023. The slide has description of hybrid motorcycles to be launched in FY 2024. Please keep excited about Kawasaki's decarbonization initiatives in the motorcycle sector.
 Page 35. As I explained earlier, the profit attributable to owners of parent is projected to reach JPY 45 billion, up by JPY 13 billion from the previous forecast. We decided to increase the year-end dividend from JPY 20 to JPY 40, distributing JPY 70 in total as full year dividend.
 Page 36. I would like to report 5 project topics today. The first topic is for Motorcycle & Engine business, a driver of the KHI Group earnings, it is about off-road 4 wheelers. Kawasaki sees mid- to long-term growth potential in this market, and we are adding production capacity. The North America has been a traditional market, but we launched off-road 4 wheelers in the Japanese market as well. We will start selling in more countries because we believe that they do have big potential demand for leisure 4 wheelers. We demonstrated hydrogen-fueled off-road 4 wheelers in September this year to show our commitment to creating a new value in the future carbon-neutral society.
 Page 37. The next topic comes up from Energy Solution & Marine Engineering. Orders keep coming from domestic and municipal incineration of plants. The Japanese market is strong, and we expect that demand will stay at a high level for the time being. Kawasaki successfully automated waste sorting by introducing AI-based robotic systems, facilitating improvement of the working conditions for the field workers. We will like to create new value in the traditional market, taking advantage of our own robotics line as a strength so that we can help solve social problems.
 Page 38. This slide introduces our Helicopter business, a new helicopter model we launched in 2019 has been successful. Now our share in Japan's medical helicopter market is 40%. Kawasaki has also launched services around medical helicopters such as helicopter web booking platform and simulator-based training. We go beyond selling just hard products, we provide total solutions to reinforce our earnings.
 Page 39. The next is option order from R211. In addition to 535 cars in this contract, R211 project informally ordered additional 640 cars. R211 project is supposed to be completed in 2026, but Option 2 order will extend the project until 2028 if the Option 2 is exercised. This means Kawasaki's share in New York area will go well above the present level of 30%, where about 50% of all American rolling stock concentrate. Our presence there will become even more meaningful.
 Page 40. The last topic is sustainable finance. Recently, the demand for sustainable finance is growing in the finance industry. It is not easy for all financial institutions to spend human resources and the costs to execute sustainable finance contracts in order to assess eligibility and to monitor borrowers. To help them overcome such a hurdle, Kawasaki has established sustainability linked loan framework and a positive impact finance framework.
 Using these frameworks, eligibility check and follow-up honoring are performed by rating agencies on behalf of financial institutions that are not fully ready yet for these types of loans. By the end of this fiscal year, sustainable finance is expected to reach 10% of Kawasaki's long-term loans. Through this framework, we hope this will reach 100% in our long-term loan portfolio by year 2050. 
 Page 41. From this slide onward, contain information regarding capital expenditure, depreciation, R&D spend, the headcount at the year-end and so forth. Thank you very much for listening.